Operator: Good day ladies and gentlemen, and welcome to Clearwater Paper's Fourth Quarter and Full Year 2013 Earnings Conference Call and web cast. At this time, all participants are in listen only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. (Operator Instructions). As a reminder, this conference call is being recorded. Today's speakers are, Ms. Linda Massman, President and Chief Executive Officer; Mr. John Hertz, Senior Vice President and Chief Financial Officer. And at this time, I would like to hand the conference over to Mr. John Hertz. Sir, you may begin.
John Hertz: Thank you, Saeed. Good afternoon, and welcome to Clearwater Paper's fourth quarter 2013 conference call. Our press release this afternoon includes details regarding our fourth quarter results, and you'll find a presentation of supplemental information posted on the Investor Relations area of our website at clearwaterpaper.com. I'd like to remind you that this presentation contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, as amended. These forward-looking statements are based on current expectations, estimates, assumptions, and projections that are subject to change and actual results may differ materially from the forward-looking statements. Factors that could cause actual results to differ materially include, those expressed or implied by risks and uncertainties described from time to time in our filings with the Securities and Exchange Commission, including our Form 10-K for the year ended December 31, 2012, and our quarterly filings on Form 10-Q. Any forward-looking statements are made only as of this date and we undertake no obligation to update any forward-looking statement. With that, I will now report on our fourth quarter and full year 2013 results. 2013 certainly had its challenges, but much was accomplished, that we believe, positions the company well for 2014 and beyond. From a capital structure and capital allocation perspective, we significantly improved our weighted average cost to capital by refinancing 10.625% Senior Notes for 4.5% senior notes. We returned $100 million to shareholders via share buyback at an average price of $48.31 per share; and today, we are announcing that the Board has approved a new $100 million share buyback authorization. We expect to return at least 50% of our 2014 discretionary free cash flow via share repurchases under that authorization. Also, as of the year end 2013, we have seen the underfunded status of our company-sponsored pension plans improve for $79 million at the end of 2012, to just $7 million today. There were also a number of operational accomplishments that Linda will speak to in her remarks to follow. Now, before we get into the actual financial results, I will start with a little housekeeping. We are providing both GAAP results and results that are adjusted to exclude certain charges and benefits that we believe are not indicative of our core operating performance. For the full year 2013, those include $6 million of costs associated with the closure of our Thomaston, Georgia, converting facility; $17 million of debt retirement costs, and $4 million related to mark-to-market adjustments to outstanding Directors' common stock units. We also recognized $81 million in tax benefits, mostly associated with alternative fuel mixture tax credits. Of that amount, $63 million is the result of an IRS memorandum released in November, and we believe significantly decreases the likelihood that taxes will be due on such credit. Accordingly, we released the reserve for uncertain tax positions related to alternative fuel mixture credits. The remaining amounts are associated with additional credits taken during the year, conversion of credits between alternative fuel mixture and cellulose biofuels, and the release of reserves related to certain state tax credit. As it relates specifically to Q4, we incurred costs of $3 million associated with the Thomaston closure, and $1.5 million related to mark-to-market adjustments to outstanding Directors' common stock units. We also recognized a $63 million tax benefit that I just discussed. Turning to the full year 2013 results; we had net sales of $1.9 billion. GAAP diluted earnings of $4.80 per share and adjusted earnings of $1.96 per share versus adjusted earnings of $3.10 per share in 2012. Adjusted EBITDA came in at $200 million of our 11% of net sales, that is a $29 million and 2% margin points decline from 2012, due primarily to higher pulp prices and TAD transition costs, and to a lesser extent, increases in chemicals, packaging, energy and wage costs. Now turning to the fourth quarter; fourth quarter net sales came in at $470 million, that is down 4% versus the third quarter and below the outlook that we provided on our Q3 earnings call of a 1% to 2% decrease, as total shipped tons within our consumer division declined more than expected. Consolidated price mix improved 1%, in line with our outlook, versus Q4 2012, net sales were up 2% on higher tissue and paperboard average selling prices per ton. Fourth quarter adjusted gross margin of 15.3%, which excludes the Thomaston shutdown costs, was up 5.5 margin points from the third quarter, due primarily to the absence of the $17.5 million in major maintenance expense that was incurred in Q3, as well as lower fiber, pulp, chemicals and TAD transition costs. Compared with the fourth quarter of 2012, adjusted gross margin was up a percentage point due to lower fiber, maintenance and purchased paper costs, along with improved tissue mix associated with the ramp of TAD tissue shipments and higher paperboard pricing. Adjusted SG&A expense, which excludes the mark-to-market expenses, was $29 million or 6.2% of fourth quarter net sales, and was at the high end of our outlook. Adjusted SG&A expense as a percentage of sales was 5.6% in the third quarter and 6.7% in the fourth quarter of 2012. We expect adjusted SG&A to be $30 million to $32 million in the first quarter. Adjusted corporate expense, excluding the mark-to-market expense was $12 million of the SG&A expenses in the fourth quarter and in line with the Q4 outlook, and up $1.5 million from Q3, due to higher IT spending. We expected adjusted corporate spending to be $11 million to $13 million per quarter in 2014. Adjusted EBITDA, which excludes the Thomaston and mark-to-market expenses were $65 million and just $1 million shy of a quarterly record. Adjusted EBITDA margin was 13.9% of net sales, compared to 8.8% in Q3. A 5% margin point improvement was primarily due to the absence of major maintenance, lower consumer production costs, and higher mix of TAD shipments. Fourth quarter 2012 adjusted EBITDA margin was 12.1%. Net interest expense of $11 million was flat with the third quarter as we expected, compared with the fourth quarter of 2012, net interest expense increased $4 million, mainly because we are no longer capitalizing interest associated with our TAD tissue expansion project. We expect net interest expense to be about $11 million in the first quarter. Turning to taxes; on a GAAP basis, Q4 taxes were a net $36 million benefit, mostly as a result of the release of the uncertain tax position reserves. On an adjusted basis, our effective tax rate for the fourth quarter was 26.6% or an $8 million expense, which was down 10 points from 37% in the third quarter. This decrease was primarily due to reduction of valuation allowances on state tax credits and NOL carry-forwards, as well as the impact of a true-up for the full year 2013 effective tax rate in the fourth quarter. We expect adjusted 2014 effective tax rate of 38%, plus or minus a couple of points. Fourth quarter 2013 GAAP net earnings were $83 million or $3.87 per diluted share, and on an adjusted basis, $23 million or $1.09 per diluted share. That is compared to adjusted net earnings of $6 million or $0.29 per diluted share in the third quarter, and $19 million and $0.82 in the fourth quarter of 2012. Non-cash expenses in the fourth quarter of 2013 included $23 million of depreciation and amortization, $3 million of total equity based compensation and $4 million of non-cash pension and retiree medical expenses. Permanent employee headcount at the end of 2013 was approximately 3,860, which is flat versus the end of 2012. Now I will discuss the segment results; Consumer Products net sales were $282 million for the fourth quarter of 2013, down 12% compared with the third quarter, primarily due to a 4% decrease in shipment volumes to 128,000 tons, at slightly below our outlook of down 1% to 3%, due to promotional spending by brands, and lower contract manufacturing volumes. Retail tons were down 2% to 71,000, while non-retail tons declined 6% to 58,000. Converted product case sales volumes declined 5%. Average tissue pricing was roughly flat versus the third quarter, at $2,196 per ton, which is at the low end of our outlook range of flat to up, 2%. A 1% increase in retail pricing was mostly offset by a 2% decline in non-retail pricing. As we expected, TAD expansion related shipments contributed approximately $7 million to EBITDA in the fourth quarter. As we look forward, we are expecting that contribution to ramp to approximately $9 million in Q1 and into approximate $12 million run rate in Q3 of 2014. Consumer Products adjusted operating margin for the fourth quarter of 2013 was $70 million or 6.2% versus $50 million or 5.2% in the third quarter. The improvement was primarily due to a richer mix of retail case sales, as well as lower pulp and TAD transition costs. Consumer Products Q4 adjusted EBITDA margin, also improved $34 million or 12% from $31 million or 11% in the third quarter. Now turning to the Pulp and Paperboard division; Pulp and Paperboard net sales of $188 million for the fourth quarter of 2013 were down 4% versus the third quarter, due to seasonally lower volumes. Paperboard shipment volumes decreased 5% to 189,000 tons and were at the low end of our outlook. Average pricing of $978 per ton was up 1% and came in at the high end of our expectations, as the Q3 price increases were fully realized in the quarter. We also had about $3 million of opportunistic external pulp sales. Pulp and Paperboard operating margin for the fourth quarter of 2013 was $37 million or a record 20% of net sales, as compared to $16 million or 8% of net sales in the third quarter. The margin increase versus Q3 was primarily due to the absence of major maintenance costs, as well as lower food fiber and chemical costs. Our next major maintenance outage is scheduled for the first half of 2015. Pulp and Paperboard Q4 EBITDA margin of 23% was also a record high, and I also personally think, all of our pulp and paperboard employees were embracing a productivity and cost reduction initiatives in achieving those record results. Now turning to the balance sheet; capital expenditures were $32 million in the fourth quarter of 2013, which included $3 million related to our TAD tissue expansion project, and total TAD project expenditures to $266 million, that excludes capitalized interest through the end of Q4. Capital expenditures for 2014 are expected to be approximately $75 million. Long term debt outstanding on December 31, 2013 was $650 million, which was the same as the September 30 amount. As mentioned, we completed our $100 million share buyback program in Q4, and for 2014, we are committed to returning at least 50% of discretionary free cash flow to shareholders via share repurchases. As a reminder, we define discretionary free cash flow, as cash flow from operating activities minus $50 million of maintenance CapEx. As previously mentioned, our company-sponsored pension plans are underfunded by approximately $7 million as of December 31, which is down substantially from year end 2012, due primarily to rising interest rates, strong investment returns and cash contributions. We contributed $2.5 million to those plans in Q4 for our 2013 total at $51 million and expect to contribute $50 million in 2014 as well. With regard to our liquidity; we ended the fourth quarter with $94 million of unrestricted cash and short term investments. For all of 2013, we generated $136 million of cash from operating activities or 7% of net sales, to $45 million and 9% of sales in the fourth quarter. In conclusion, favorable markets and good internal execution combined to yield a near-record EBITDA performance in the fourth quarter. We ended a challenging year on a strong note, and believe we are well positioned for 2014. I will now turn the call over to Linda Massman, who will discuss the company's outlook.
Linda Massman: Thanks John. Hello everyone and thanks for joining us today. Before I discuss our outlook, there were some key operational accomplishments in 2013, that we believe position us well for 2014 and beyond, that includes successfully ramping production at our new 70,000 ton TAD tissue machine in Shelby, North Carolina, and upgrading our Las Vegas TAD tissue machine, and make TAD bath tissue for the first time. Launching our new TAD bathroom tissue product line, and shipping it to over 30 customers as of the end of 2013. Consumer acceptance of our TAD products is trending positively, as seen by increasing retail sales rate, and has resulted in an expansion of our tissue customer base. We have realized $17 million in cost reduction in 2013, and we have identified, and in some cases, implemented initiatives worth an additional $20 million to $32 million that we expect to realize in 2014 and beyond, which includes shutting down the Thomaston facility and redeploying the converting lines to more strategic locations; ramping up the Clearwater fiber chipping facility and extending the time between major maintenance shutdowns at our Lewiston, Idaho Pulp and Paperboard facility. Our Pulp and Paperboard operations delivered its strongest quarterly EBITDA margin in company history; and we accomplished all of this with a safety performance that is the best in the company's history. Specifically, we bettered 2012's record safety levels by nearly 25%, with an incident rate significantly below comparable industry performance. It is important to note that our success is not possible without the hard work and dedication of our employees, that is why, we started 2013 with a launch of a company-wide strategic plan, called Drive, to energize employees to improve safety, customer relationships, sustainability, efficiency and profitability. (Inaudible) outcomes have been positive, as employees have embraced the plans with a collective goal of making the company, the best that it can be. As I mentioned, we are implementing projects that are expected to result in significant annual cost savings. As we move into 2014, we are maintaining our efforts of improving our financial position, by focusing the organizations on achieving our financial models of a cross-cycle consolidated 15% EBITDA margin, with the Paperboard division operating at record margins, a clear opportunity and focus in 2014 will be expanding margins in the Consumer Products division. Turning to our view of the market environment for each of our business segments, and starting with the Consumer Products business. For 2013, U.S. retail tissue cases shipped as reported by IRI on multi-outlook retail sales were up 4.3% versus 2012. Private label was up 8.7%, while national brands increased 2.8% and Clearwater paper was up 4.8%. Private label tissue market share grew 120 basis points to 27.5% in 2013, with increased production of TAD bathroom tissues by four private label compliers, including us, and we maintained our share of the growing U.S. retail tissue market. Looking into 2014, we expect the U.S. tissue market to grow at least 2%, consistent with the long term trends, and we believe private label will continue to gain share, given the increased production of TAD bath tissue. The rate of growth in private label share will depend on the competitive dynamics, and continued retailer and consumer acceptance of the new TAD products. Turning to the paperboard market, as we begin 2014, the market outlook remains positive. We have already begun to see a pickup in orders after the holiday season, which has resulted in historically high backlogs for this time of the year. [More additionally], our indicators are very positive and pricing has remained stable, and in fact, we have announced a $50 price increase across all product segments, effective early March. The demand for SBS board has remained robust, despite the new coated ivory board capacity coming online in China. The effect of that capacity continues to be looked at in overseas, with limited acceptance and impact in the U.S., as of now. Now to our outlook; for the full year 2014, as detailed on page 14 of our supplemental earnings presentation, we are currently expecting tissue and paperboard shipments volumes to increase. We expect our Consumer Products average sales price per ton to continue to rise, with increased TAD bath tissue mix, slightly offset by mix changes within conventional tissue, while paperboard prices are expected to trend up, given our recent price increase announced earlier this week. On the cost side, we are expecting lower external pulp costs, as capacity continues to come online and higher energy costs related to additional Shelby production, and natural gas price increases associated with the very cold temperatures experienced in the Midwest and East. Finally, SG&A should be slightly higher and maintenance and repair should decline $20 million, due to the absence of scheduled major maintenance in 2014. Looking specifically at the first quarter for our Consumer Products business; we are expecting a 1% to 3% increase in shipment tons, compared to Q4, due to seasonally higher retail and non-retail volumes. We expect price mix to be flat to up 1%, versus the fourth quarter, due to an increasing mix of TAD tissue. However, high levels of competitive activity has continued into 2014, as the new TAD capacity is absorbed into the marketplace. We will continue to monitor this closely, as we progress through the year. On the cost side of the equation for Consumer Products in Q1, we expect increasing pulp, energy, and maintenance costs to be partially offset by cost savings program. We expect SG&A expenses to increase up to $1 million on profit-related accruals. Regarding our first quarter outlook for the Pulp and Paperboard segment, we expect paperboard shipment volumes to be stable, and price mix to be flat to up 1%. However, Pulp and Paperboard net sales could be down slightly, as we do not expect $3 million of external pulp sales we had in Q4 to recur in the first quarter. With the exception of slight increases in fiber and energy costs, we expect Pulp and Paperboard [infra] costs to be stable, versus the fourth quarter. Looking at the consolidated business for Q1 versus fourth quarter, we expect net sales to be flat to up 2%, due primarily to higher tissue volumes, along with increased price mix for both segments, and we are expecting our consolidated operating margin to be 8% plus or minus a point. In summary, while we started the year with some additional costs associated with the launch of our new TAD bathroom tissue product, we ended the year on a high note with a new record quarterly adjusted EBITDA. We are progressing towards our adjusted EBITDA target of $300 million, based on 2011 pricing and costing structure. As we have illustrated on slide 16 and 17 of our earnings presentation, the 2013 adjusted EBITDA of $200 million was impacted by $40 million of pricing and cost input headwinds versus 2011, and $16 million in 2013 TAD transition costs. In addition, we expect to get the full TAD EBITDA run rate of $12 million per quarter in Q3 2014, and to realize an additional $5 million to $8 million per quarter in cost saving initiatives, that are in varying stages of implementation. We believe these expected contributions to adjusted EBITDA, together with a renewed focus on margin improvement for the consumer products division, will enable us to achieve our stated objective, quarterly run rate by the third quarter of 2014. Finally, we will be presenting at the Bank of America Mid-Cap Conference on Boston on March 18, and in Goldman Sachs Paper, Forest Products and Packaging Conference in Montreal on March 19, and hope to see you there. Thank you for listening to our prepared remarks, and we will now take questions.
Operator: (Operator Instructions). And your first question comes from Steve Chercover from Davidson. Your line is open. Please go ahead.
Steven Chercover - D.A. Davidson: Good afternoon, thanks. John ran through a bunch of numbers in terms of the impact on Q1, and I missed few of them. So prior to SG&A, which I think was $13 million and interest expense $11 million, can you run through the previous numbers please, John?
John Hertz: Are you talking about the adjustments that we are making, or the --?
Steven Chercover - D.A. Davidson: I think with the amortization and a few other, just kind of guidance related things prior to the tax rate interest expense and SG&A. So if you go back to your script, the first couple of numbers that you indicated for Q1?
John Hertz: Give me a second here. As we said, we expect SG&A to be $30 million to $32 million. We expected corporate spending to be $11 million to $13 million. Did that catch you up now or?
Steven Chercover - D.A. Davidson: Yeah. Those were I guess the ones I missed.
John Hertz: Okay.
Steven Chercover - D.A. Davidson: All right. Thanks. I will hop back in the queue.
Operator: Thank you. (Operator Instructions). Our next question comes from Paul Quinn from RBC. Your line is open Please go ahead.
Paul Quinn - RBC Capital Markets: Yeah. Thanks very much and congratulations on the good results. Your paperboard division has been running at very high levels of profitability and yet, you have got another price hike in (inaudible). Is this a new level of sustainability for this business, or do you sleep well at night worrying about this ivory board coming in North America?
Linda Massman: Paul, I think the recent price increase that we announced is more indicative of the strong demand we are seeing in the marketplace right now, and the strong backlog. SBS board has remained robust, despite the new capacity in China. We haven't seen much of an impact of that board here in the U.S., but like we said, we are just going to keep our eye on it, and watch the trends, as we progress in 2014.
Paul Quinn - RBC Capital Markets: Can you give us a little bit more detail on how bigger the backlog is going to be normally at, and do you see that, I guess, a transition away from film to paper cup as being one of these trends that are favorable on demand?
Linda Massman: Yeah, I'd say our backlogs are running anywhere from four to five weeks right now, and I think some of that transition to cup is probably having an impact in the market. Yes.
Paul Quinn - RBC Capital Markets: Okay. And just switching over to the tissue side. Just wondering what -- in terms of orders or I guess, winning additional private label business, is that a -- are those contracts coming up on a regular basis, is there one specific quarter that has more of those, that would be reset than others, if you could give any flavor for just how those contract negotiations are done?
Linda Massman: Yeah Paul, I'd say on the retail side, those contracts are not necessarily time bound with regard to specific data, price has to be negotiated in terms and conditions. It tends to be a little bit more free form than that. So there is not any particular quarter, where you are going to see, bunch of contracts renewing all at once. It takes time to work through negotiations, and that's also hard to predict, depending on the extent of what they want to do from a category perspective. So I think it's just something you ought to listen to our calls, and we will probably give some insight into where we are on those processes.
Paul Quinn - RBC Capital Markets: Okay. And then last question I had on capital allocation. I think a number of your followers, investors, are looking for some kind of dividend. Could you may be just walk through the decision on reaffirming $100 million of share buyback, versus initiating a dividend?
John Hertz: Yeah Paul, this is John and welcome. So yeah, the discussion we obviously had with the Board, and with the way we and the Board looked at where the business is, and not completely through the full ramp of the TAD product line, that for this year, is at a more prudent way to return cash to shareholders, is the stock buyback, but that doesn't preclude, we might end up, when we think about 2015, where we still have that commitment to return 50% of discretionary free cash flow we may -- we could end up using as dividend or a sum of both in 2015.
Paul Quinn - RBC Capital Markets: Great. Thanks very much. That's all I had. Best luck.
John Hertz: Thank you.
Operator: Thank you. And our next question comes from James Armstrong from Vertical Research. Your line is open. Please go ahead.
James Armstrong - Vertical Research Partners: Good afternoon. The first question is, looking at the retail tissue, the sub-segment. Could you update us on how TAD pricing versus conventional is doing, and is your benefit in that segment more of a mix shift, or are you actually seeing pricing in that segment?
Linda Massman: So with regard to TAD, it is definitely at a higher price per ton, than conventional. We have not actually stated specifically how much higher, but we are seeing that expectation come to fruition, as replacing TAD out in the marketplace, with regard to the bath tissue. I think what you are seeing really sequentially from Q3 to Q4 on the retail pricing per ton was really of course, the benefit of increasing mix to new TAD products, offset by some of the competitive activity I have made mention of, as well as the mix in conventional tissue products.
James Armstrong - Vertical Research Partners: Okay. That helps. Switching gears to the bleachboard segment, or the paperboard, that did amazingly well. However, there is a price increase announced in the market. Have you announced a similar price increase of $50 a ton? And if you were to get this price increased, how would that plow through your quarters?
Linda Massman: So we have announced a $50 price increase across all of our paperboard grades, effective early March, and I don't think we have given any insight into how we (inaudible), but I could say -- we will obviously see the impacting in Q1, and definitely not a full impact, or potentially not a full impact even as early as Q2. But by the back half of the year, we should get close to a pretty (inaudible).
James Armstrong - Vertical Research Partners: Thank you. And then lastly, the tax rate year-over-year, I know there were a lot of moving parts, especially in the third and fourth quarter. But the tax rate seems a lot higher. Is there anything special going on there, that is increasing the rate -- the 38%?
John Hertz: You mean, as we look into 2014?
James Armstrong - Vertical Research Partners: As we look into 2014, yes.
John Hertz: I think we have always kind of been around 36% to 38%, I can't preclude anything necessarily specific that I would call out.
James Armstrong - Vertical Research Partners: Okay. That's fair. Thank you.
Operator: Thank you. I am showing no further questions at this time. I'd like to hand the conference over to Ms. Linda Massman for any closing remarks.
Linda Massman: Great. Thank you. In summary, we believe, our strong fourth quarter performance reflects the strength of the company's team to succeed in 2013, despite the high level of competition in the marketplace, and the team here at Clearwater Paper is looking forward to continued success in 2014. I really appreciate you all joining us for the quarter. Thanks.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes our program, you may all disconnect and have a wonderful day.